Operator: Good afternoon. Thank you for attending today's Century Aluminum Company Fourth Quarter 2024 Earnings conference Call. My name is Shaila and I'll be your moderator for today. [Operator Instructions] I would like to turn the conference over to our host, Ryan Crawford. Ryan, you may proceed.
Ryan Crawford: Thank you, operator. Good afternoon, everyone, and welcome to the conference call. I'm joined here today by Jesse Gary, Century's President and Chief Executive Officer; Jerry Bialek, Executive Vice President and Chief Financial Officer; and Peter Trpkovski, Senior Vice President of Finance and Treasurer. After our prepared comments, we will take your questions. As a reminder, today's presentation is available on our website at www.centuryaluminum.com. We use our website as a means of disclosing material information about the company and for complying with Regulation FD. Turning to slide 1, please take a moment to review the cautionary statements shown here with respect to forward-looking statements and non-GAAP financial measures contained in today's discussion. And with that, I'll hand the call to Jesse.
Jesse Gary: Thanks, Ryan, and thanks to everyone for joining. I'll start today by quickly reviewing our full year 2024 performance before discussing our Q4 performance and the strong market conditions we are experiencing so far in 2025. Jerry will then take you through the details of the results and our first quarter outlook, and then I'll finish with a discussion of the recent U.S. Section 232 tariff announcements before turning the call over for questions. Century produced strong results in 2024, generating adjusted EBITDA of $245 million for the year and $82 million for the fourth quarter. Overall, strong realized aluminum prices, both at the LME and regional premium level and low energy prices, drove increased profitability in the fourth quarter. Aluminum prices averaged $2,575 for the quarter and rose further in Q1 to date, with spot LME trading above $2,700 and Midwest Premium trading near $0.39 today. Turning to slide 4, Indy hub power prices continued to be attractive in Q4, as a mild start to winter kept natural gas and power prices low. Cold snaps in January and February have led to higher U. S. And European gas and energy prices so far in 2025, and we have experienced some of this normal seasonality in our power prices at Seabree in the first quarter. Turning to page 5. As you can see in the top left graph, strong global demand and continued constraints on new global supply is expected to move the global market into deficit by over 600,000 tonnes in 2025. Global aluminum supply remains challenged with China approaching its 45 million tonne production cap and Limited announced new projects outside of China. We believe demand growth will continue to outpace supply in 2025 and for years to come. With inventories again at multiyear lows of 49 days, Western demand growth in 2025 should be supportive of higher aluminum prices as we move forward in the year and inventories continue to deplete. Alumina supplies also remained tight in Q4, driving API alumina prices to all-time highs in late November and early December. Alumina prices have retreated somewhat in 2025 with spot API trading today around $505. Our Jamalco acquisition and LME linked commercial contracts continue to serve us well during this period of alumina price volatility. During Q4, one of our major alumina suppliers declared a force majeure, which reduced deliveries under one of our supply contracts and required us to procure some spot API alumina in Q4. Fortunately, we were able to reach a financial settlement with the supplier that fully offset the additional costs of these spot cargos. Please just note that the $12 million benefit from the financial settlement was booked in Q4, while the offsetting onetime costs associated with the replacement material will not roll through our results until Q1 due to FIFO accounting. Just to wrap this up, the FM was limited to Q4 and we do not expect any further impact from this beyond Q1. You can continue to use our 50% Jamalco and fixed -- and 50% LME linked alumina sensitivity numbers for Q2 and beyond. On Page 6, you can see our other raw material price inputs continue to be constructive, but we did see some uptick in coke and pitch prices as we enter 2025. Caustic prices and HFO continue to be at levels that are very constructive for Jamalco. Turning to operations. Across the company, our assets continue to deliver strong operating results into yearend. Starting with Seabree, 2024 represented one of the smelter's finest operating years ever, delivering strong results across their operating KPIs. We are very proud of the fine assets that the team has created there. Mt. Holly did suffer some minor operational instability in Q4 as an excursion on the carbon side of the business increased operating costs and drove slightly lower production across the plant. The management team there has this issue well in hand, and we expect the plant to return to normal performance over the course of Q1. At Grundartangi in Jamalco, the respective teams delivered excellent operating quarters. And Jamalco notably is off to a very strong start to 2025 with January production at the highest monthly level since we purchased the plant. The Jamalco team continues to focus on improvement, both through operational optimization and execution of our multiyear CapEx program that will aim to increase production at Jamalco towards 1.4 million tonnes of capacity. In Q4, the Jamalco team took action to right size its workforce by implementing a 5% reduction in the plant's headcount. This step was necessary to lower the plant's labor expense and increase productivity and continues our progress towards Jamalco's goal of producing in the second quartile of the cost curve. Our evaluation process at Hawesville made good progress with strong interest and lots of due diligence ongoing. We will keep you updated on progress here as we move through the year. Wrapping up with some very good news out of Iceland. Recent rainfall and stronger than expected snowmelt have improved reservoir levels in the hydropower schemes on the island. Given these improved reservoir levels, the National Power Company ended the power curtailments to Grundartangi in mid-February. The curtailments had originally been expected to last through May. The plant is now in the process of restoring operations to full production, which will have a partial benefit in Q1 and should result in full production levels for Grundartangi in Q2. The positive financial impact of the additional production is included in our outlook on page 10 in our full year volume guidance that is included later in this presentation. Jerry will now walk you through the details on the quarter and our Q1 outlook.
Jerry Bialek : Thank you, Jesse. Let's turn to slide 7 to review fourth quarter results. On a consolidated basis, fourth quarter global shipments were approximately 167,000 tonne, slightly lower than last quarter due primarily to year-end cutoff timing of shipments. Net sales for the quarter were $631 million, an increase of $92 million sequentially. This was driven by higher third party aluminum sales volume along with higher aluminum prices and regional premiums. Adjusted net income was $46 million or $0.49 per share. The main adjusting items were add-backs of $5 million for share-based compensation and $2 million for lower cost or net realizable value on inventory, partially offset by a $6 million deduction for the unrealized impact of forward derivative contracts. Looking at Q4 operating results, adjusted EBITDA attributable to Century was $82 million. Liquidity was $245 million to end the fourth quarter. This consisted of $33 million in cash and $212 million available on our credit facilities. Our liquidity position remains near target range but decreased last quarter primarily due to working capital dynamics within alumina sourcing. Turning to slide 8 to explain fourth quarter sequential improvement and adjusted EBITDA on a normalized basis. As a reminder, the Treasury Department published final 45X rules addressing carbon and other operating supplies in Q3. As a result, we recorded an incremental tax credit to true up the full year 2023 and year-to-date 2024 periods in the third quarter. Normalized adjusted EBITDA for the fourth quarter improved $9 million to $82 million. Realized LME of $2,462 per tonne was up $11 versus prior quarter. While realized U.S. Midwest Premium of $436 per tonne was up $15 and European delivery premium of $341 per tonne was up $6. Together, higher metal prices and regional premiums contributed an incremental $4 million compared with prior quarter. We also realized favorable energy costs adding $2 million of EBITDA. In addition, as Jesse discussed, we recorded a $12 million benefit after reaching a settlement with an external alumina supplier regarding a force majeure supply disruption in Q4. These benefits were partially offset by unfavorable other raw material costs of $3 million and higher operating spend at Mt. Holly, a headwind of $5 million. With that, let's turn to slide 9 for a look at cash flow. We began the quarter with $33 million in cash. Adjusted EBITDA contributed $82 million. Increased borrowings of $42 million was used to support the working capital build. Capital expenditures totaled $13 million. Interest and taxes were $14 million and $9 million, respectively. The force majeure settlement was recorded in adjusted EBITDA for the fourth quarter, but as Jesse already noted, the offsetting costs will run through inventory in Q1. Finally, the regular 45X tax credit booked in the quarter increased the tax credit receivable on our balance sheet until direct cash payments from the federal government are received. Through December 31, we have a 45X receivable of $152 million related to full year 2023 and 2024 operations. At the end of quarter four, we had $33 million in cash. Let's turn to slide 10 for insight into our expectations for the first quarter of 2025. For Q1, the lagged LME of $2,575 per tonne is expected to be up about $113 versus Q4 realized prices. The Q1 lagged U.S. Midwest Premium is forecast to be $600 per tonne, up $165. Remember, the realized Midwest Premium is on an approximately one-month lag, so the recent significant premium increase will be reflected primarily in Q2 results. The European delivery premium is expected at $345 per tonne, or up about $5 per tonne versus the fourth quarter. Taken together, the lagged LME and delivery premium changes are expected to have a $35 million to $40 million increase to Q1 EBITDA compared with Q4 levels. Normal seasonality will impact power prices and should be an approximate $15 million EBITDA headwind in Q1, after a mild start to winter in Q4. We expect carbon and other material prices to increase by $5 million. The force majeure notices from one of our alumina suppliers caused us to purchase some alumina cargoes at spot prices during Q4. The additional cost of these cargoes was fully offset by a $12 million financial settlement that we reached with our supplier in Q4. Note the benefit of the financial settlement was realized in Q4, but due to FIFO accounting, the higher cost of the cargoes will flow through our results in Q1. So while we are showing a one-time $10 million to $15 million aluminum headwind in Q1, the impact of this was really offset by the financial settlement we recorded in Q4. To be clear, we do not expect this will repeat in Q2 or beyond. We will incur approximately $5 million of higher OpEx from pot relying costs to return to full pot complement at Grundartangi and trailing restructuring costs associated with the Jamalco workforce changes. Volume and mix will add an incremental $10 million benefit. All factors considered, our outlook for Q1 adjusted EBITDA is expected to be in a range between $75 million to $85 million. As previously discussed, this outlook does not include the full quarter impact of the significant increase in Midwest regional premium since the announcement of the revised Section 232 tariffs. Using the sensitivities provided in our appendix, you can that this will have a significant impact on the profitability of our U.S. business with each $1.00 of increase in Midwest Premium equating to an additional $9 million of EBITDA on an annualized basis. When you apply that to the nearly $0.20 increase we have already experienced since Q4, you can see the material impact of this action on our American operations. Please just remember that due to our contractual pricing agreements, Midwest Premium will run through our financial results on a one-month lag, which means the vast majority of the benefit from the increased Section 232 tariffs will not hit our financial results until Q2. Now referring to slide 11 for the full year 2025 financial assumptions. We expect shipments to improve to 700,000 tonnes in 2025 as all plants operate at targeted utilization levels. We expect to spend approximately $45 million to $50 million in sustaining CapEx. This is in line with historical sustaining CapEx for the smelter assets and now includes Jamalco. We also plan to invest $25 million to $30 million in various projects across the asset base that meet or exceed our return threshold. The investment CapEx will focus on improving operating efficiencies at Jamalco and our current U.S. and European facilities. The impact of the hedge book will vary with market conditions throughout the year, but to assist with anticipating these impacts on a go-forward basis, we have updated our previously reviewed financial hedge landscape, which can be found on page 16 in the appendix. With that, I will hand the call back to Jesse.
Jesse Gary: Thanks, Jerry. Turning to slide 12, I'd like to end the prepared portion of our call by thanking President Trump for so quickly taking action to strengthen the Section 232 tariffs on aluminum. When President Trump originally created the Section 232 program in 2018, it allowed the U.S. aluminum industry to steady itself and begin to invest again in U.S. production. We were proud to do our part as we invested in U.S. production and became the largest producer of primary aluminum in the United States. Unfortunately, after President Trump left office, the effectiveness of the program was degraded through a number of country exemptions that allowed foreign producers to bypass the program and even increase their imports to all-time high levels, including imports from exempted countries increasing by over 25% since 2018. Effective March 12, President Trump's actions will restore the original effectiveness of the Section 232 program by revoking all country and product exemptions and raising the tariff rate from 10% to 25%. The effects of President Trump's action are beginning to be reflected in the Midwest Premium, which has already risen from the $0.20 we realized in Q4 to the $0.39 spot today. We believe that the Midwest Premium has room to increase further following the effective date of the program in March. As the largest producer of primary aluminum in the United States, Century is doing its part to build and secure the aluminum production that is so essential to U.S. national security needs. When complete, our new smelter project will represent the first new smelter built in the U.S. in 50 years and will double the size of the existing U.S. industry. The new Century smelter will build on our leading market position to fulfill the ever-growing strategic need for a secure American supplier of cutting-edge primary aluminum alloys and value-added products. The new Century smelter will also provide our U.S. customer base with a secure domestic source of military-grade primary aluminum, as well as a full suite of value-added products produced with best-in-class technology. The new smelter will create over 1,000 full-time direct jobs and over 5,500 construction jobs here in the United States. We continue to make good progress on the project, having completed the second phase of engineering work and nearing completion of site selection and energy supply negotiations. We are grateful to President Trump and his administration for recognizing the vital importance of a strong domestic primary aluminum industry to U.S. national security. These actions will help to underpin further investment in our industry, strengthen domestic supply chains, and ensure the U.S. industry will be able to meet U.S. needs for this critical mineral. With that, we are ready for your questions, and we'll turn the call over now to the operator.
Operator: [Operator Instructions] Our first question comes from Nick Giles with the company B Riley.
Nick Giles: Thank you very much, operator, and good afternoon, everyone. Guys, congrats on all the progress here as of late. My first question is, you noted that the more recent rise in Midwest Premiums won't be reflected until 2Q, and so I was wondering if you could help bridge this to your earnings power in the current environment. I believe Midwest Premium in your 1Q guide versus spot today could imply an annual impact of around $100 million, so I wanted to confirm that and see how we might think about other moving parts. Thanks a lot.
Jesse Gary: Yes, first, Nick, congrats on the new role. Glad to have you covering us and look forward to working with you. Second, good question. So, yes, where we've seen Midwest go, maybe just to start with, so far, we've seen Midwest go from the $0.20 we realized in Q4 to the $0.39 we're seeing in spot today, and in our Q1 outlook, we've assumed a realized Midwest Premium of $0.27. So, if you take it to spot, you're right in the ballpark of where that could be, and ultimately, we think that Midwest Premium will go higher. We don't think it's fully reflecting the value of the tariff today, and we could see another $0.05 to $0.10 upside to what you see today. So, if you take that all together, you could see about $0.20 upside from where we are today, call it $0.20 to $0.25 from what we've assumed in the Q1 guide. Excuse me, $0.20 to $0.25 from what we realized in Q4, looking somewhere in the $0.45 to $0.50 range on a measured basis.
Nick Giles: Got it. Jesse, I really appreciate that, and maybe as a follow-up, I was hoping to get an update on how you're viewing a potential Mt. Holly restart, given current Midwest Premiums and the implication of 232 tariffs, and then I had the same question for Hawesville. Has this impacted your ongoing strategic process? Thanks a lot.
Jesse Gary: Yes, sure. Great question, Nick. So, obviously, since the announcement, which was just last week, we've been updating our analysis at Mt. Holly. Obviously, the tariff program is extremely constructive for the smelter. As we mentioned, we did experience a little instability in the operations in Q4. That'll get cleaned up over Q1, and we also see continued high spot ala prices. Those should also come down. So, we'll continue to update you, but we're definitely moving in the right direction for a restart at Mt. Holly. The Hawesville price list continues. Evaluation ongoing. We've seen strong continued interest in the site, but obviously, we'll continue to look at the new environment as we make a decision of what to do there. But as we've said before, I think first to come will be at Mt. Holly restart, and then we'll go from there.
Nick Giles: Got it. That's good to hear. Maybe one more, if I could. Maybe a more point of clarification. The 1Q guide is almost taking a double hit from the nonrecurring settlement plus the Illumina spot purchase, given the lags, as you outlined. Is it fair to assume that this kind of negative $10 billion to $15 billion hit will reverse in 2Q, or am I thinking about that wrong?
Jesse Gary: No, you're absolutely right, Nick, and there's just a little bit of accounting noise running through that. There’re a couple ways of looking at it. One, if instead of booking the financial settlement in Q4, you booked that in Q1, you actually wouldn't see a headwind in the ala price in Q1. Those do fully offset, as Jerry said. And secondly, you're completely correct. You won't see that repeat in Q2. So, that should all come back in Q2.
Operator: The next question comes from Katja Jancic with the company BMO.
Katja Jancic: Hi. Thank you for taking my questions. Maybe going back to Mt. Holly, if you do decide to restart it, how long it would take you and what would the investment needed be?
Jesse Gary: Yes. So, we're updating all that analysis, Katja, as I said, since the news came last week. As we've said before, you're probably looking at somewhere around a nine-month timeline from decision to restart, somewhere in that range. And we'll give you an update on the cost of a restart once we make that decision and announce the restart.
Katja Jancic: Maybe, if I remember correctly, when you were restarting the potline at Hawesville a few years ago, did it cost about $45 million to $50 million per potline? Am I remembering that correctly?
Jesse Gary: Yes. That's not exactly what it was. But, again, there's obviously been a lot of changes since 2018 when those restarts were done. We're about seven years down the line. So, we'll just go ahead and give you that full analysis once we've made the decision at Mt. Holly.
Katja Jancic: And maybe, you mentioned the new smelter. You're making progress there. And I know that this is a multiyear type of project, but can you talk a bit more about how much it would actually cost to build a new smelter in the US?
Jesse Gary: Yes. We have made really good progress on the new smelter. In January, we finished up the process to finalize the terms of the award and went formally under award with the Department of Energy for the $500 million grant that we've talked about before. We've also finished up the second phase of engineering work for the project. And really, the next step for the project will be to finalize the energy contract negotiations and site selection, which is ongoing today. And we'd expect that gets done by the end of Q2 or so. So, we'll give you a further update on that project after we've finished that work and made a decision to move forward into the next step.
Operator: Our next question comes from Timna Tanners with the company Wolf Research.
Timna Tanners: Yes. Hi. Good evening. I wanted to kind of hit back on some of the topics that have been touched on. So, I guess to circle back on Hawesville, just the one sentence in your prepared remarks that made me wonder, is there less conviction on that process? Do you have anything in terms of timing or progress that you can update us on? And just to circle back, it is possible that it restarts or are you pursuing this alternative 100%? Thank you.
Jesse Gary: Not at all. No, nothing to read into that update other than the process continues to be going well. Very strong continued interest in the site. And lots of people doing due diligence. As I said on the last call, it is a complicated process. And it's a little bit different than some of the other transactions that you've seen done in the space where here we're going from an industrial site to a potential different use case. And as you might imagine, given the capital scale of what a potential purchaser would be looking at, they want to do their due diligence first. And so, that's really ongoing process still going well. And we'd expect to continue to keep you updated. To the second part of your question, Timna, what we've said all along is we will always measure whatever comes out of this process versus the potential value of the site under a restart scenario. And obviously, the recent actions will help the second part of that analysis. So, we'll just go ahead and pursue the process. And once we've finished it, we'll give everyone an update. But nothing to read into. The process continues to go well. And we're excited about it.
Timna Tanners: Okay. That's great. Appreciate the additional color. Also, really enjoy the industry environment forecast that you have here for Midwest Premium staying high alumina prices. Those are helpful. In the assumption here that does include a 25% Section 232 effectiveness on March 12. But is there any assumption of an additional tariff on Canada? Is that in your thought process of what could play out going forward with that debate? Or I guess that dialogue ongoing?
Jesse Gary: Yes, we continue to watch that dialogue as well. And just to be clear, that's not included either in our guidance or sort of my views on where Midwest Premium can go that I gave when we were speaking to Nick earlier. So, again, we think fundamentally, if the 25% tariff goes on, you'll see Midwest Premium somewhere in the $0.45 to $0.50 range. And that does not include any other additional tariffs that may come.
Timna Tanners: Okay, helpful. And then last one from me on Jamalco, you've been talking about expanding in this alumina environment. That sounds great. And I think that would be part of the support for Mt. Holly. So just want to make sure I'm thinking about that properly. Have you talked about the capital costs and timing for that expansion?
Jesse Gary: Yes, we have. And just to remind, but just to remind you, so the investment CapEx at Jamalco, we estimate will be somewhere in the $15 million to $20 million range in 2025. You'll probably see a similar range in 2026, as we continue to invest in projects that are needed to bring that production capacity back up. And that's included in the investment CapEx that's in the back of our deck.
Timna Tanners: But is that part of the process of thinking about the Mt. Holly restart is to secure that additional alumina capacity? Or are they not necessarily linked?
Jesse Gary: They're not necessarily linked. We can secure that in the marketplace, Timna. But of course, as we look to keep our book balanced, we're excited to have that additional production within our portfolio.
Operator: The next question comes from John Tumazos with the company Very Independent Research.
John Tumazos: Thank you. Today, the International Aluminum Institute reported record daily global output, up 2.5%. And with inventories falling, it applies about a 3.5% demand growth rate in the early part of this year. And last year's apparent demand growth rate was about the same 3.5%. Do you think demand is growing that rapidly? Or do you think that there's some inventory building, maybe because of alumina worries, less Russia exports, less China exports, maybe lower interest rates encourage some restocking or some tariff uncertainties?
Jesse Gary: No, John, we really haven't seen any evidence of any sort of shadow stockpiling, if you will. That's sort of what the question is. We think that 49 day number has been very stable. And you can continue to see that tick down over the past several quarters. And we do think that, I can't speak to IAI's exact numbers. But I think the ballpark that you gave and the analysis there is largely correct. As I said, in my prepared remarks, we think aluminum demand will outpace aluminum supply growth over the next several years, for sure.
John Tumazos: If I could follow up. The IAI reported a record Chinese output for January 120,645 tonnes a day. And it used to be that they would cut output in the winter to reduce urban pollution, but they've migrated and changed their energy sources a little bit. How do you interpret the Chinese output at a record in the middle of the winter? And with 6 million tonnes of aluminum capacity being idled, should we adjust that 45 million tonne cap to 48 or 50?
Jesse Gary: No, absolutely not, John. I think both our view and I think widely the marketplace view is that the Chinese are respecting the 45 million tonne cap. And we would expect that will be where it goes going forward. And I think one thing that hasn't been talked about a lot, but the decision back in the fall to eliminate the VAT rebate on export is actually a sign of their intention to recognize that 45 million tonne cap. So in other words, as they look to meet their own downstream demand, they're going to keep all those semi-products within China that used to lead. So we view those as actually very supportive of the 45 million tonne cap and really bolsters and supports so that's the intention of the Chinese government. Of course, we'll see, but that's our view for now.
Operator: There are no more questions. I'd like to pass the conference back over to our hosting team for closing remarks.
Ryan Crawford: Okay, thanks everyone for joining the call. We're really excited about what's to come in 2025 for Century. We think the market sets up very well for our company, and we're glad to continue our role that we play both in the United States and Europe in producing aluminum that's needed. Thank you very much. Talk to you next quarter.
Operator: That will conclude today's conference call. Thank you for your participation. Enjoy the rest of your day.